Jakub Cerný: So good afternoon, ladies and gentlemen. We will come from Komercni banka and thank you for sharing your time with us today. It is the 6th of February 2026, and we are going to discuss the results of Komercni banka Group for the fourth quarter and for the full year 2025. Please note that this call is being recorded. Today, we have the entire Board of Directors together in one room led by the Chairman and CEO of Komercni banka, Jan Juchelka; and we also have Margus Simson, Chief Digital Officer; Miroslav Hirsl, Head of Retail Banking; Katarina Kurucova, Head of Corporate and Investment Banking; Anne de Kouchkovsky, Chief Risk Officer; Jitka Haubova, Chief Operations Officer; and we them, of course, Etienne Loulergue, our Chief Financial Officer. As always, we will begin with the presentation of results, which will be followed by a questions-and-answer session. [Operator Instructions] Now let me ask the CEO, Jan Juchelka, to begin the presentation. Thank you.
Jan Juchelka: Thank you, Jakub. Hello, everyone. Thank you for sharing your time with us. We very appreciate your attention you pay to Komercni. It's my pleasure together with the management team to lead you through the presentation of Q4 2025 results and the full year 2025 results. We can start with Page #4. Komercni in 2025 printed solid growth of financing of Czech economy across the board, all segments with the emphasis on housing loans. We grew by 6.8% in the fourth quarter attributed by -- contributed by 4.3%. On the side of deposits, we grew almost by 6%, which we didn't find optimal. This is why in fourth quarter, we opened the gate a little bit for gaining a bit more deposits from the market in order to build solid foundations for 2026 commercial and business growth. Assets under management outside the bank grew by 5.5%. For us it's a combination of mutual funds made by Amundi, the private banking product. Pension schemes and insurance products from Komercni pojistovna. Here, we saw a little drop on the new sales and new origination for the investment products by Amundi, I will come back to it in a bit of -- in a few minutes in detail. Balance sheet and capital remains very strong. We are sitting on 17.9% of capital, 17.1% is Core Tier 1. Loans to deposits in safe territory of 83.1% and both short-term and long-term indicators of liquidity remain far above the requested 100%, LCR for 159%, NSFR for 130%. Full year's results were translated into CZK 18.1 billion net profit. On a reported basis, it's 4.7% growth. If you take out the extraordinary income stemming from the sale of the headquarter building last year at Wenceslas Square in Prague. We are showing 22.3% on a year-over-year basis growth. It represents CZK 95.61 per share, and all this money will go back to shareholders as we are -- as a Board of Directors, advising the shareholders meeting, which will take place in April this year. Cost-to-income ratio of KB remained at 46.1%, return on equity at 14.2%. Looking forward, we will guide -- or we are guiding the market for 2026 dividend guidance at 80%. The payout ratio, and we feel we are fulfilling our promise that after the extraordinary period of time, which took three consecutive years, we were giving back 100%. We will go lower but we are still 15% above the traditional payout ratio, which used to be 65% before COVID. In the bank, there was one remarkable corporate governance-related event. We are welcoming Herve de Kerdrel as a new Supervisory Board member since 1st January 2026. Herve is lifelong banker, which is retired SG banker joining the team and enlarging the diversity of Supervisory Board. In 2025, Komercni made an important step towards the new realities. We are closing our KB 2025 transformation program, probably the largest transformation initiative in the Czech banking history for the last 20 years, where we delivered the full -- fully rebuilt digital platform from 21st century, replacing the core banking, the accounting and payment systems and other relevant systems and launching new client proposition and new application for the front office in branches, for Internet banking and for mobile banking. Thanks to that, we are also able to learn new disciplines. How to acquire hundreds of thousands of new clients. In 2025, there was 135,000 new clients using our platform, KB+. The total number of KB Group customers overshooted 2.2 million. So currently, we are recording 2,268,000 clients whom we are servicing in the entire group. In 2025, we gained a couple of recognitions on the MasterCard Bank of the Year, we were named as the Bank of the Year in Corporate Banking and Bank without Barriers. We can move to Page #5. Speaking about strategy, let me open this chapter with the statement that we have completely new fully digital platform, working 24/7 with multicurrency accounts in place in which we are currently finding almost entire portfolio of our retail clients. So 2025 was a year of huge -- of finalization of huge maneuver of transferring clients from the old to the new system. And we are gaining also the expertise how to onboard, how to activate and how to cross-sell the new clients. We will come back to it in detail through my colleague, Miroslav Hirsl in a second. We have created a competitive advantage with higher digital sales penetration. We are currently achieving 54%, 55% and heading to 60% of the total sales of our products in a digital way, improving customer satisfaction, thanks to the very modern design of our new app and new interface in the Internet banking and in the branches. The modern technology is done in the world where we have applicated the agile way of working for the software crafting and software coding, thanks to which we are able to come to the market much faster with new innovations, and we will show you the picture what might be those in 2026. We were very strict on working with -- working on costs. The cost base was redefined. In 2025, we are super strict even in the context of our NBI slightly lagging behind our original expectations. So we took the measures on the cost side immediately. And we see that the new platform combined with much simpler, much faster processes and much simpler organization is bringing a higher level of efficiency. We are keeping the bank strong on capital. We will obviously continue with that, not only from the, let's say, strict supervision point of view, which is represented by Czech National Bank, but also by our strong conviction that the large and stable capital base is enabling us for the future to grow organically. We are recognizing as leader, combining MSCI ESG rating, S&P Global CSA Score, as well as FTSE4Good is keeping us amongst top 5% of players of that kind. We continue financing also the energy transition in the country and other relevant programs. So we are exiting the program as a simpler, more agile, more efficient bank, well positioned to deliver the organic growth down the road starting 2026. Next page, please. Page #7, I'm handing over to Margus Simson, the Chief Digital Officer.
Margus Simson: Good Afternoon from my side. Just looking into the things that we delivered during this last 5 to 6 years of transformation, then I would probably point out three the most important ones. The first one, the new digital bank is completely cleaned up, completely simplified compared to the setup that we had in the past. So taking a simple example on the retail platform side or retail customer side, we had 600 products before in the legacy system. We have only a bit more than 30 in the new one, effectively bringing down 20x the number of products. This is not only speeding up the kind of -- the way how fast we can develop things, but it also brings down the operational cost, operational complexity. It is helping to bring up our time to market from 18 months that we had rather before in the old system to rather to a couple of months in the new system. So the ability to innovate, the ability to deliver into the market is significantly change, thanks to that kind of complexity reduction that we have been going through. So simplification in every term, the things that the customer sees, the things that are happening inside the bank is the biggest benefit of the transformation from that end. When looking at the functionality, then obviously, the new technology brought different opportunities as well, multicurrency account, the very similar setup what, for example, Revolut has. This has been enabled only by the new solution being up and running. The account customization, I believe, one of the very unique opportunities that the customers tend to love and this one is that they can choose their own account numbers. This is something that is -- seems trivial or seems like a little bit unnecessary development. But at the same time, we see that the customers like that when the services are really tailored rather towards their own needs and their own initiatives. When we're looking from a security perspective, then previously, we had our authentication tool separately and our mobile application separately, now into one, which makes the usage for the customer significantly easier, but also make sure that we do not have the complexity also from that side burdening our customers and ourselves. And when we are looking at the security options that are setting in KB+, just imagine a modern solution that needs to be there in order to make sure that the customers' money is safe and we do guide. And with that one, I'm handing over to Miroslav Hirsl to focus on the questions of what has been really changing on the business side, and what has been delivering the results.
Miroslav Hiršl: Thank you, Margus, and hello to everyone. Let me guide you by using a few highlights through how all of that was explained so far is reflected in business life and business activity of the bank. On the next slide, if I may. And I will start by commenting the number of users by the way. So the first thing to say is our new bank is up and running. It's stable. And today, there's more than 1.6 million active users. And when I say even more, it is by additional -- sorry, 30,000 clients. And the number is basically increasing every week, every day and even every time you click on a refresh button on the screen. So it's moving forward. It's not just a number of users. It is also the number of new clients that aren't there on the platform. And when you look at 2025 and 2024, we basically almost doubled our acquisition capacity compared to the usual years before. Even though in the brackets, you see another year that was pretty good. I would stick to my doubling the acquisition capacity, which is quite a success. Another point I'd like to highlight goes to customer migration. You heard it already. So we finalized the migration of private individuals to the new platform. There are still a few left on the old one, but it will be a lower and lower number and it's not critical anymore for the activity of the bank. If you would ask me, is it done? I would say, yes, it's done for private individuals, what is not yet done, but will be done soon is other client segments, starting by small entrepreneurs. Already more than 50% of clients has been migrated to the new platform, and we will finish the process by Christmas this year. Number three out of my fourth chapter is private banking clients. Even though there are not so many, they are quite specific in many cases. We will start the migration with the first cluster next month, in a few weeks. And again, the strong commitment and confidence on our side that we will be able to finalize the migration process until the year-end. There's one chapter more, and this is legal entities. This will take a year longer, but we will wait for 2027. We will start the beginning of summer this year already, and we would like and will finalize the process in 2027 by the year-end. Moving to the next slide. A few more things to say. The first one, it's true that we went through quite important and even sizable streamlining of the distribution network over the recent years. It was branches, number of branches, but not only that, it was number of front office people and probably even more number of managers, not just the number as such, but also the number of layers and the whole organization structure. And it is true that when you go through so significant changes, it creates a certain friction in the organization and takes part of your energy rate for the change itself. This was the first thing that was symptomatic for our distribution network. The second one was, by the way, to focus of distribution network or front office people to migration as such because it was taking approximately 20% of the capacity. Good news is that it's all done, even though there's still some migration to go through, it will just be part of business as usual, not taking much of our distribution capacity, which should allow us to spend even more time with our clients and to spend even more time on our business activity, which gives me a lot of optimism for the years to come. From the same basket, let me speak a bit about the increase of digital sales. A few years ago, we were starting from quite modest humble numbers in 2025. We were already around 55% of all sales happening in the digital way. And when I say digital, is not just paperless, but it means it goes end-to-end digitally without any human being in the bank touching the process at all. And it is true even for some quite significant products, such as consumer loans, where we are already about 50% of all the tickets being processed super-fast without any touch of a human being. So if I should close the story by the last element. It has to be client satisfaction because what we were doing, we are not doing because of transformation per se or migration per se. We are doing it to make the bank better for the clients. And you can see on the graph that we did and the customer satisfaction measured by NPS, is consistently increasing month by month, where we are starting at very humble levels. Today, we are already moving in the corridor between 25 -- sorry, 35 and 40 points. And we still believe in our ambition to get to 50, but we will need a few more quarters for doing so. But it is true that with every other migration rates finished, these clients getting used to the new environment, with the new environment being very stable, we are quite convinced that this is going to happen. I would stop here, and I will give the floor to Etienne, our CFO. Not yet?
Jan Juchelka: So in fact, the word goes back to me, not because of my function, but because this is the order how we agreed at the beginning. So let me say, Page #10, just to summarize what was this chapter of our transformation about. We went out as a streamlined organization with much lower number of managerial layers. We were turned down from 7 to 8 to the existing 4 to 5. We have increased our span of control at the level of approximately 8.1, and we want to stay around 8 for the time to go. We have came out as a team of people who know how to run and deliver the complex transformation of that size of that kind, using agile@scale, way of crafting the [indiscernible] and running the project across all the disciplines of banking. That being combined with micro services architecture of our IT is giving us the advantage of much faster time to market when launching new innovations, when launching new functionalities, when launching new products. The system is much more stable than the previous one. We are seeing higher than 95% of operational stability and availability of the systems as we speak. The overall platform is obviously much better ready for working smarter in a smarter way with data and implement AI functionalities in a smoother way. We are not abandoning our very strong culture of compliance and risk management, which was, by the way, one of the contributors also into our net profits in 2025. And we have gained already in various parts of the bank very high productivity increase. Let me name the housing loans production, which is back at record high levels delivered by approximately 50% of the staff than it was before, and further cost rationalization across the bank. Let me move to the next page, please. Now we are inviting you back to the traditional pages of our presentation. We are very lucky together with our main competitors to make the banking business in the Czech Republic. This is a growing economy, we expect in 2025, the growth -- the total growth of GDP was 2.5%. 2026 after the revision of our macro echo team, we believe it might go even higher to 2.7%. The industrial production is back to the growth followed by already growing construction businesses. Wages are beating the inflation. So without any surprise, the households are the main engine of this growth and large contributor in the growth of GDP. Thanks to that. Also unemployment is down. So this is one of the assumptions we are making that consumer lending, consumer loans produced by Komercni banka in 2026, should be one of the fastest-growing parts of our loan book. The inflation, as I mentioned, is nowadays even in -- for January, even below 2%. Czech National Bank has not touched the 2 weeks repo rate and they are remaining at -- they are keeping it at existing 3.5%. And Czech crown is slightly stronger and stronger vis-a-vis both euro and dollar. So the overall frame seems fine, when you combine it with the fact that the current government seem to be pro-investment and pro-business. And we see that there is also more and more decisions of our clients to follow this enthusiasm by private investments. Let me move to next page, which is the business performance. The loans are up by almost 7%. The main engine being mortgages, Komercni is back to the market, taking from the market anything what oscillates around 20% of the new production. When you see the fourth quarter of '24 and fourth quarter of '25, you see the -- you see also the fascinating growth by 82.2%. Having said that, and having repeated that, we are delivering it with 1/2 of people than previously. When moving to consumer loans, we would love to have higher numbers in '25. It didn't happen, but we have our new format of consumer loan in KB+, which is fully digital from beginning to the end. We have 15% to 20% of the capacity of our branches back to sale and less to assist the clients with transfers and migration. And we are orchestrating the branches, the digital, KB Advisory services, third parties and KB Contact Center in the best way to approach the market with a real omnichannel approach and simply speaking, to sell more in 2026. When moving from retail to corporate, there was very dynamic very dynamic growth in the fourth quarter, very strong fourth quarter, promising fourth quarter. We believe that the rebound of Czech manufacturing industry, machinery industry, defense sector and a few more is bringing us back to faster growth of -- the faster growth and positive trajectory. On that front, KB will be assisting its clients at the maximum, and we believe that here the dynamism will continue. When speaking about corporate clients, we need to remind ourselves also the performance of SGEF, which became 100% subsidiary to KB, which is delivering 6.2% growth. Let's move to the next page. You see that Komercni was all over the place during 2025. During the fourth quarter of '25, assisting clients with financing or advisory in their transformative projects. Miroslav spoke about NPS for retail clients. Let me say that our strong activity on corporate and investment banking side is bringing us back very high levels of Net Promoter Score in corporate and investment banking business. Higher we go through the portfolio, we are drifting towards 80 positive points of the feedback, of the satisfaction feedback by corporate clients. We are very proud of it, but we are not complacent from that. So we will continue pushing the button on the side of corporate clients, midsized clients, municipalities as we do today and confirming our leading position in corporate financing. Let me go to next page. Page #16 is deposits. I need to confess it grew by a little bit suboptimal levels. We wanted to grow more and we opened the gates in the fourth quarter to get more like long-term deposits mainly from retail to build even stronger funding for our future commercial and business growth. Despite the fact we were growing by 5.8%, which is probably not a disappointing number, but our ambition was slightly higher. When speaking about deposits, what is probably the most important part of it is that, the savings accounts and term deposits are growing by almost 30% in that -- in the mix between the paid and non-paid deposits, the non-paid deposits, i.e., current accounts are slightly down. When going to -- from the balance sheet of the bank to assets under management outside the bank, you know that we have this partnership with Amundi, where the sales of mutual funds was down by 14% on a year-over-year basis between '25 and '24. We should keep in mind that, yes, on one hand, we are not super satisfied with that. On the other hand, '24 was super strong and we are sitting together with Amundi to get appropriate action plan in place and to get it back to growing trajectory. Inside that, KB has collected more fees even from that structure, thanks to the change or transformation of the composition of fees charged to the clients, mainly thanks to the fact that there was much less money market funds sold and much more equity, fixed income and other funds sold to our retail clients. Having said that, insurance was growing by double digits, 15.2% in total, life, 15.3%, non-life, 15%, both somehow being also or taking the benefit from the growing book of housing loans. But not only that, you can see in our KB+ application that there is an extra button for the insurance product, which is bringing first fruits to the P&L. Next page, please. Here, I'm handing over to Etienne Loulergue, our CFO. Thank you.
Etienne Loulergue: Thank you, Jan. I will guide you through the financial performance of Komercni banka for 2025. So 2025, Komercni banka delivered again a very solid financial performance bottom line with net profit reaching more than CZK 18 billion on a full year basis. And if we compare it to the reported 2024 net profit, which was CZK 17.2 billion, it's a growth of more than CZK 800 million, representing 4.7%. But if we look at the full year 2024, excluding the exceptional positive one-off the capital gain coming from the sale of the historical building of Vaclavske namesti, we start from CZK 14.7 billion in 2024 on recurring. Therefore, the growth year-on-year is plus 22%, representing CZK 3.3 billion in 2025. The main drivers for this growth are the following. First, we have the influence of the net cost of risk evolution in 2025, which represents year-on-year positive evolution of CZK 2.5 billion. Second, and it is very important to highlight in our 2025 performance, we have a visible decrease of our operating expenses base by more than CZK 700 million on the full year basis with two main components. Of course, we enjoy the fact that we have a lower contribution to the Resolution Fund in 2025, and it helps for CZK 380 million. But more important than that, we are able to decrease our internal cost base by more than CZK 360 million with efforts, which will explain a little bit later. The third driver for growth is, of course, the growth of the net banking income overall driven by our commercial performance. The overall growth of the net banking income is plus CZK 70 million, representing plus 0.2%. And within this net banking income. We have, of course, the fourth driver, which is the net interest income growing by more than CZK 560 million and unfortunately slightly compensated by a decrease in the overall net fees and commission and net profit from financial operations. This more than CZK 18.1 billion of net profit in 2025, enabled to deliver a return on average tangible equity at 16.1% growing year-on-year by more than 70 basis points on a reported basis. And if we compare to the recurring basis, it's even bigger with more than 300 basis points. You can see also that the return on average assets stands at 1.2%, which is also growing year-on-year by approximately 10 basis points. And on the bottom right part of the chart, you can see the evolution quarter-over-quarter with a regular growth of the net banking income and solid control of the operating expenses. We can move to the next slide, please. Evolution of the balance sheet. We had a solid growth of the balance sheet and a sound growth of the balance sheet. It represents 4.1% additional year-on-year or CZK 60.4 billion, and we reached CZK 1.6 trillion off balance sheet at the end of 2025. On the asset side, the first driver for this growth is obviously the commercial loan performance with a growth of CZK 52 billion, representing 6% of this part of the balance sheet. And on top of that, we grew also our cash and liquid instrument by CZK 17 billion, representing 4%. On the liability side, the growth was driven by the client deposits for CZK 47 billion year-on-year, representing 4%. And additionally, we also grew our portfolio of securities issued with CZK 17 billion from an issuance of covered bonds that we achieved in the last quarter of 2025. The purpose of such initiative is to diversify our sources of funding and secure satisfactory level of liquidity ratios. And I recall at this stage, considering the balance sheet evolution that we have a comfortable high-quality liquid asset portfolio on the asset side, representing more than CZK 400 billion, or 1/4 of the balance sheet, which enables to sustain the liquidity coverage ratio at a flattish level, 159% and the net stable funding ratio at 130%, also stable year-on-year. Now if we move to the next slide to go in more details regarding the composition of the net banking income. First, we have the net interest income, which is growing year-on-year by 2.2%, more than CZK 560 million with definitely as a first driver, the growth of the balance sheet. We have the growth of the loan books by -- as we mentioned just in the previous slide, contributing by plus CZK 300 million in the net interest income of plus 3%. And the growth of the deposits contributed with plus CZK 185 million in the net interest income or 2% for this specific category. Important to highlight also on the top left of the page, you can see that we maintained our net interest margin overall, at a stable level, 1.72% coming from 1.74% in 2024. And this is a very positive achievement considering that in 2024, we had to suffer a decrease of this net interest margin by almost 20 basis points. So 2025 stabilizing is a satisfactory -- very satisfactory performance. And now the change is to continue the growth on volumes. If we move to the next page, on fees and commissions. The overall picture year-on-year is decreased by CZK 330 million, representing 4.6% However, we have to remind that in the base of 2024, we benefited from some exceptional additional fees and commissions coming mainly from the exceptional performance of asset management in 2024. We benefited from extra performance fees in this field. And we also benefited from very important transaction in the field of syndicated loans, generating also additional fees in 2024. The exceptional fees that we had in 2024 represented slightly more than CZK 300 million. So if we exclude them and we compare to a recurring base, we are year-on-year more or less flattish in terms of fees and commissions. Second point to highlight in the fees and commission, flattish with counting -- factoring the fact that in 2025, we have performed this significant migration of our private individual clients to the new digital solutions under a new framework in terms of fees as the client now benefit from subscription plans. So the structure of fees changing, and we are much more consistent with market practice. It influenced the transaction fees by minus CZK 200 million in 2025 compared to 2024. And now we are on a new base on which we come with growth, thanks to additional volumes. You can see also on the bottom of the page, the quarterly evolution of the fees and commission and their mix. And you can see a steady growth in the second half of 2025 with a nice rebound in the fourth quarter. If we move to the next page. The third component of the net banking income is net profit from the financial operations. And in this front, we are growing nicely by more than CZK 100 million year-on-year, representing 2.8%. And the first driver is very sound as it is our sales activity for -- mostly for hedging instruments for our client. The growth represents plus CZK 130 million of 8%. On the front of net gains on foreign exchange operations from payments, we are in terms of overall revenue, flattish. However, we see a continuous growth of number of transactions and volumes, but we have also a slight pressure on the spend. You can see also on the bottom right of the page, the evolution quarter-on-quarter of these two activities. And I would like to highlight that Q4 is kind of normal quarter compared to Q3, which was a historically high quarter obviously, the best of 2025 and probably one of the best historical speaking. Next slide, please. Now moving to the cost path here. This is a remarkable achievement in 2025 with the reduction of the cost base. It was made possible thanks to the transformation, which was explained at the beginning of the presentation by my colleagues, where we have invested massively in the digital transformation and now our digital solutions are up and running. We have also reorganized and refocused network in orderly manner. And now we benefit from these gains in productivity and efficiency, and it is visible in our operating expenses. And the first driver of the operating expenses decrease is the personnel cost with minus 5%, representing CZK 450 million year-on-year, and it is driven by a reduction in the number of average position by approximately 6.5% year-on-year. I would like also to highlight that we keep a very strong discipline on the other cost and especially on the general administrative expenses, which were also decreased by 4%, representing almost CZK 200 million year-on-year. I recall once more the reduction in the Resolution Fund contribution helping also to reduce the overall cost base. The last element in the operating expenses that is important to comment. And it is growing. It is a depreciation part growing by 7%. But we confirm that we have it completely under control as it is our road map following all the investments we have capitalized in the previous years to deliver this massive digital transformation at the bank level. Reducing the operating expenses in such big scale enabled to deliver a significant positive jaws effect on the cost-to-income ratio and we decreased by more than 2 points our cost-to-income ratio, which reached a level of 46.1% on a full year basis in 2025. And I will now hand over to Anne de Kouchkovsky, our Chief Risk Officer, for the asset quality and cost of risk.
Anne Laure de Kouchkovsky: Thank you, Etienne. So I will start with the asset quality. So the fourth quarter is in prolongation to what was seen during the full year. As it was mentioned earlier, the portfolio of loan grew up to almost 7% and this was in the context of a very stable and excellent quality of our loan portfolio. So this is seen in the Stage 2 and Stage 3. So you see that Stage 2 is dropping down but this is mainly driven by the effects of the inflation reserve that was created some years back. And that -- and we commented in the previous quarter that the scenario of inflation not being realized that we just saw the prospective figures that we decided to release these reserves. So this is creating this effect in Stage 2. But despite from that, it was very low inflow of Stage 2. Same remark on Stage 3, you see that here, we are dropping to 1.6% share of the portfolio in nonperforming loans. And this is also influenced by some write-offs and successful resolution of the big corporate client sites that were nonperforming and some sales of receivable. As far as the provision coverage of the nonperforming loans is concerned, it's very stable, and the effect and I would say, the variation is linked to this sales of receivable and resolution of the corporate files. So maybe more interesting is to see the effect on the cost of risk. So if we can go to the next slide. So for the fourth quarter, we are in net release of CZK 130 million. And here, on the non-retail portfolio, once again, it's driven by the release of the inflation reserve and this successful resolution of the client situation that I mentioned earlier. And at the same time, we also decided to modify a bit some assumptions on our reserves and to keep reserve with more broader assumptions linked to these unstable situation, whether it's macroeconomic or geopolitical. On the retail exposure, this is the net creation here, but this is driven by also the adjustment in the reserve assumptions. And this is I would say, for the newly assumption created for the reserve for the coming years, we are here impacting more of the small business exposures. So all in all, for the full year, it's a net release of almost CZK 1.5 billion, so minus 16 bps, which is obviously very low point, but it was logical, given all quarters' evolutions. Here, maybe one comment is that cost of risk is always seen as more through the cycle. So some years might be obviously impacted by some exceptional resolution of long-dated situation with client. This was the case this year. We also had the impact -- positive impact of the very high-quality portfolio, which led to very low inflow of problematic loans, this is also linked to what was mentioned that we are growing with mortgage and big corporate loans, which are the, I would say, the bulk of our exposures, and we are less present in segments which naturally brings some cost of risk, and this is what we are going to develop for the coming years. So, again, on the non-retail side, it's mainly the effect of repayments and successful resolution and the adjustment of assumptions of the overlay. And on the retail, as I mentioned, it's intrinsically very low inflows of default and the adjustment of overlay. And I give you the floor back, Etienne.
Etienne Loulergue: Thank you, Anne. And I will comment on the capital adequacy ratios. So we maintained a solid level of solvency ratio with 17.9% at the end of 2025, which is well above the overall capital requirement set by the regulation. We are more 130 basis points above this requirement. The main -- first maybe the composition of this capital adequacy ratio is very qualitative with Core Tier 1 ratio standing at 17.1%. and the Tier 2 instrument in our own funds represent 0.8%. The main components of the evolution of this ratio are stable Core Equity Tier 1 part of the capital, stable level of Tier 2 instrument in 2025, so stable in terms of regulatory on funds. While on the denominator side, the risk-weighted assets grew by 2.4% in 2025 to reach a level of CZK 580 billion. Of course, we have maintained our provisioning for the dividend at 100% on the cumulative net profit of 2025. This is a transition for the next slide. Being in this solid capital adequacy ratio situation, we confirm our intention to distribute 100% of the net profit to 2025 as guided across 2025. So we will distribute the CZK 18.1 billion of total net profit for last year, and it represents an impact per share at CZK 95.6. Now coming to the forecast for 2026, considering our conditions to grow further our loan book and contribute more to the funding of the Czech economy and grow our commercial footprint. We see an acceleration of our loan production in 2026 and therefore, an acceleration also of our risk-weighted assets. And as we, of course, want to stay always with a solid capital adequacy ratio. We consider that it is time to slightly reduce the payout policy. Remember that we have distributed 100% of the net profit for three consecutive years, but always mentioning that it is kind of extraordinary situation with an expectation to accelerate again on the credit side for 2026. We consider that it is prudent, but still very satisfactory to guide a distribution of 80% of the net profit in 2026. Next slide, please. To comment on our outlook for the year 2026, of course, in the central scenario. First, the assumptions on which we base our scenario are the following, we foresee, again, solid growth of the gross domestic product of the Czech Republic at 2.7%. We also forecast a good control of the inflation below 2%, and also stability of overall of the interest rate environment, starting with the short-term rates, the 2-week repo at 3.5%. And by the way, probably as you noticed, it was confirmed yesterday by the Czech National Bank in their public statement. Based on this assumption and our ambition to continue to grow our commercial books, we forecast for the loans to client growth in the range of mid- to high single digits in both segments, retail and corporate, probably slightly higher in retail, thanks to the dynamism of the household consumption. On the front of client deposits, we also target to grow mid- to high single digits as it is consistent with the loan book. On the net banking income, our ambition is to grow mid- to high single digits with the contribution of the main components, of course, the net interest income first, but also growing again on net fees and commission and net profit from the financial operations. On the front of operating expenditures, after having decreased in '25 compared to '24, we count with coming back in a slight growth of the OpEx in '26, but with low single-digit growth. The combination of this low single-digit growth in OpEx and higher growth in the net banking income, we should enable to deliver, again, a positive growth effect in 2026. For the cost-to-income ratio and decrease it in the range of 43% to 44%. Regarding the net cost of risk in 2026, coming from the exceptional 2025, which was in net release representing 16 basis points of net release overall. Now in '26, we are cautious, and we expect to return to creation of loan loss provisions. However, in the range that is lower compared to the average level that we have observed through the cycle. Bottom line, the return on equity should stay in a very satisfactory level between 13% and 14%, considering again that the net cost of risk should come back in creation of provisions. Of course, we commit to maintain a solid level of capital adequacy ratio, and we maintain our guidance to stay in the range of 17.5% to 18.5% for our ratio, which is 100 basis points above the overall capital requirement set by regulation. And I hand over to Jan Juchelka for the final conclusion.
Jan Juchelka: Thank you very much, Etienne. Thank you for giving us your attention. It's -- there is a hard work behind us in 2025, especially on the side of cost management, on the side of crafting the finalization of the transformation program. We believe we are perfectly equipped for 2026 on both retail and corporate segments to attack the market with a growing loan book and growing deposit base. We believe that in the dialogue of Czech Banking Association where KB is an important member, we will continue the constructive dialogue with the government who presented pretty ambitious parts of public investments. We believe that private investments from our corporate clients will follow, and the consumption and investments of households will continue remaining strong. This is the main assumptions on which we are building our conviction that 2026 should be another strong year of Komercni banka. Thank you very much. I am shipping the word back to Jakub Cerny for conducting the Q&A part.
Jakub Cerný: Thanks to all the speakers. In the next part of today's meeting, we will be happy to answer your questions. [Operator Instructions] Thank you. So our first question comes from the line of Cihan Saraoglu from HSBC.
Cihan Saraoglu: I have two quick questions. One is with regards to how much inflation overlays you have left? Have you consume all of those, released all of those in 2025? And the second one is with regards to competitive landscape in the deposit market, particularly, I remember in the first -- towards the first half of 2025, deposit competition was somewhat escalating. And then you're also saying that you want to -- you commented that you were not really happy -- too happy with the acceleration in your deposit book in terms of growth. So how do you see the competitive landscape and how confident are you with regards to your deposit growth guidance?
Anne Laure de Kouchkovsky: I will start with your question on the inflation reserves. So here, just maybe to remind a model are backward looking with some forward-looking coefficient. And what we put in the reserve is more like what we cannot capture with the models. Then this is based on many assumptions. And I explained inflation being no more one of our concern. And we see that it's going to a very, I would say, the lower level than it used to be in the past. We considered changing the assumption. So under the so-called pure inflation, we don't have any reserves, but we considered that the environment being still very unstable on other, I would say, geopolitical macroeconomic concerns, we kept the reserve both in the corporate and on the small business for the retail part.
Jan Juchelka: If I may continue with the deposits and the competition on that front. Yes, you are right. The composition of our deposits was and remains, let's say, slightly different on the side of current accounts versus saving accounts or term deposits. So if you wish, unpaid versus paid parts of the deposit. It's visible here in the Czech Republic that we are opening advertising company with pretty attractive levels of rates for our retail clients. We see the tendency of our clients to either bring back fresh money, should they be already existing clients or bringing money as a new client. So slowly but steadily, we believe that we will be building even stronger pillar of our deposits for further funding of -- financing of Czech economy. As far as pricing is concerned, we are not the leader. We are not proposing the highest-ever rates. Nonetheless, we know that it will not go forward without leaving some money on the table in favor of attracting fresh money into the bank. So if you wish we slightly adjusted our approach to collection of new deposits. When speaking about deposits on the corporate side, we believe that smaller the companies longer the deposits stay in the bank. So we are, again, more or less, as we speak, we are back to the market with very attractive rates for small businesses where we were lagging behind our traditional market shares. And we continue pushing on a cross-sell of these clients using the deposits as an anchor product in the new platform.
Jakub Cerný: [Operator Instructions] We still have a question from Marta Czajkowska from IPOPEMA.
Marta Czajkowska-Baldyga: I have a few questions. First, you mentioned that there was a pressure on credit margins in the fourth quarter. Can you just elaborate on that, which credit lines are more exposed to that pressure and whether you expect this to continue? The other question is on the 2026 outlook, where do you see the potential for growth for NII is this coming only from loan growth, the mix of the loan growth or the margin expansion? And also on the fee income, where do you see the prospects for higher growth to support the revenue streams? And on the cost side, if I may, you mentioned you expect slower growth. If you could elaborate on the potential for cost savings in 2026.
Etienne Loulergue: I will start with the outlook. So you are right that we expect growth of the net interest income. It is -- our assumption is based on growth of the volumes, not only loans, deposit as well. Even though indeed, we have higher growth on the paid deposits, more than the nonpaid deposit, even paid deposits we are able to generate margins additional on them. So we expect growth from deposit and loan volumes. And if we focus more on the loan portfolio, it's also a question of mix indeed. We forecast to accelerate on the consumer loans, for example, where we didn't grow so much in 2025, and we have a much higher expectation in 2026. And definitely, on this type of loan, we have better margin. In the field of fees, we expect to grow in different categories of them. I will mention, of course, the cross-selling fees, where we expect a rebound in asset management fees, definitely, but also transactional fees as after having achieved the migration to the new subscription plan, now we expect to grow, thanks to volume growth. Regarding costs, we have mentioned that in 2026, we expect rather an increase compared to 2025, but in the low single digits. So we don't expect to decrease further the OpEx in 2026 compared to 2025, but to be back slightly in growth under a very good control, of course. This growth is driven by an increase in the depreciation that is expected and again, fully under control because we have a road map of the put in use of all the investments we have achieved in the recent years. And on top of that, a slight increase of the other component of the operating expenses, both staff and general administrative, sorry, expenses, but in a very low single digits in both cases. Coming back to the pressure on margins on credit. It is true that the market is very competitive, and we saw it in Q4. We can say that, for example, on mortgages, which is market growing very fast. We are also facing intense competition, and we saw a cushion of a few basis points on the margin -- on the mortgages. However, as this product remains a core project to anchor the long-term relationship with the client. And with this product, we are able to generate cross-sell, especially on fees, but also by securing some stable deposits on the balance sheet, we truly believe that it is worth accepting a slight decrease on the spread and mortgages, but securing additional revenues side.
Jan Juchelka: If I may, just a few additional words, Etienne. You probably know that in the field of consumer loans in the field of small businesses, we are somehow lagging behind our natural market share. We believe that we have the means to fill the gap here and to be much more active on providing consumer loans to Czech households and providing the appropriate financing to small businesses. And we have acquisitive ambitions on that front. So we want to grow. And this is one of the main sources of NII down the road, especially when you take into account that households will be -- will continue their strong economic activity also in 2026 and on. We believe that those are also two subsegments where the margins are still achieving pretty nice, pretty nice, pretty nice numbers. Let me also remind that on the side of mortgages, we are currently collecting anything around 20% of new production from the market. Again, I will never miss the opportunity to say that we do it with 1/2 of people than we used to be -- than there are used to be. There is still obviously a margin lower than on consumer loans. We see that oscillating between 60 and 80 bps for 2025. Hence, here, the volumes will be, let's say, prevailing and creating also the perfect base for cross-sell to clients, which are taking long-term mortgage from KB.
Marta Czajkowska-Baldyga: Okay. Just one follow-up on your dividend policy. Going forward, post 2026, could the market expect a continuation of 80% payout ratio in the following years as well?
Jan Juchelka: We feel super responsible in front of the shareholders. And when speaking about shareholders, obviously, there is one which collects 60% of the ownership, but there is anything between 70,000 to 80,000 institutional and private individuals, which are representing the 40%. And we are simply guiding our dividend payout through the filter of do we have better use for the excess of capital or not? If not, we are giving it back to the shareholders. When we see our forward-looking predictions, we will always keep as much capital as needed for securing our organic growth. And the rest will be for investors. Should that be 80% on the long term, it's pretty too early to say. We'd rather stay on the safe side and guide the market only for the ongoing year. But we will do our best to keep it at satisfactory levels.
Jakub Cerný: [Operator Instructions] So we don't seem to have any further questions at this point. So I'm handing back to the CEO for a concluding remark, please.
Jan Juchelka: All right. Again, thank you very much for this numerous presence in our con call. We very appreciate your attention paid to Komercni. We are looking forward to come back to you at latest with the next first quarter presentation. In the meantime, we entirely stay at your disposal for potential questions should you have any. And thank you very much and the team of Investors Relations and all my colleagues here to help with the presentation and answering your questions. Thank you, and have a good rest of the day.
Jakub Cerný: Thank you all. This has concluded our call today. You can now disconnect. Good bye.